Operator: Good afternoon. My name is Kristen and I will be your conference operator today. At this time I would like to welcome everyone to the Lattice Semiconductor Q3 2010 conference call. (Operator Instructions) At this time I would like to turn the call over to our host, Mr. David Pasquale of Global IR Partners. You may begin.
David Pasquale: 
Thank you, Operator. Welcome everyone to Lattice Semiconductor’s Q3 2010 results conference call and thank you for being patient on the entrance. There were technical difficulties on the conference call side.: Joining us today from the company are Mr. Christopher Fanning, the company’s Interim CEO Corporate Vice President and I Low Density and Mixed Signal Solutions and Mr. Michael D. Potter, Lattice’s Corporate Vice President and Chief Financial Officer. Both executives will be available for Q&A after the prepared comments. If you have not yet received a copy of today’s results release, please email Global IR Partners using LSCC@GlobalIRPartners.com where you can get a copy of the release off of the investor relations section of Lattice Semiconductor’s website. Before we begin the formal remarks I will review the safe harbor statement. It is our intention that this call will comply with the requirements of FCC Reg FD. This call includes and constitutes the company’s official guidance for the first quarter of fiscal 2010. If at any time after this call we communicate any material changes to this guide, we intend that such updates will be done using a public forum such as a press release or a publicly announced conference call. The matters that we discuss together with historical information includes forward-looking statements relating to our future financial performance and other performance expectations. Investor’s forward looking statements are neither promises nor guarantees. They involve risks and uncertainties that may cause actual results to differ materially from those projected in the forgoing statements. Some of those risks and uncertainties are detailed on our filling for the FCC including our fiscal year 2009 Form 10K filed in March 10 and forward looking reports on Form 10Q. The company disclaims any obligation to publicly update or revise any such forward-looking statements to reflect events or circumstances that occur after this call. For our prepared remarks will also be presented within the requirements of FCC Reg I regarding generally accepted accounting principles or GAAP. I would now like to turn the call over to Mr. Christopher Fanning. Please go ahead sir.
Christopher Fanning: Thank you, David, and thank you everyone for joining our call today. The Q3 was within our guidance for all three metrics – revenue, gross margin and operating expense. An important achievement for us this quarter is that we grew our new products 10% quarter on quarter and our new products more than doubled on a year on year basis. New products are where we have placed significant focus more recently and we are pleased with the level of customer adoption in design win momentum for these solutions. In terms of specific results for the quarter, revenue of $77.1 million was flat verses Q2 2010 and up 57% compared to the year ago quarter. Gross margin came in at 59.1% compared to 61.2% in Q2 2010 and 54.2% in Q3 2009. Operating expense was $30.7 million compared to $31.4 million in Q2 2010. As noted in our release, revenue was impacted by lower sequential sales in our mature product category, an area that has more recently had several strong quarters of growth. Mature products typically decline over the long term and tend to be more affected by macroeconomic conditions and inventory modulations than the PLD industry generally. Growth in our new product segment is being led by two key product groups, midrange FPGAs and low density PLDs. The low cost, low power Lattice ECP3, our newest midrange FPGA grew more than 50% quarter on quarter. This is the seventh consecutive quarter of growth since the ECP3’s launch. We continue to see a strong rate of customer adoption to this product family in our investing to further build out our solutions portfolio for ECP3. During Q3 we introduced a SPI-4.2 solution for the communications market and a video display IP Suite to enable customers to quickly implement proprietary image processing functions. Our low density MachXO also continues to experience very good customer adoption and grew 17% quarter on quarter. This is more than double the product revenue verses the year ago quarter. We have now shipped 50 million MachXO devices up from 25 million from just eleven months ago. And today the MachXO is our largest revenue product line. Our programmable mixed signal products continue to account for over 5% of our revenue as we continue to grow our investment to address this important market opportunity. With the introduction of the platform manager products earlier this month, we have released the first products in our third generation of programmable power management solutions. These products provide value to our customers in that they reduce an engineer’s bill of material costs and board space requirements, increase their designs reliability and provide effective time efficient trouble shooting capability to mitigate time to market risk. Based on our results, we believe that we are continuing to gain momentum in our targeted market and we are optimistic about our business moving forward. Now what I would like to do is give you some additional color on the quarter. All life cycle categories experienced year on year growth. And as I previously mentioned, our new products grew 10% quarter on quarter and doubled year on year. Growth was driven by our non-volatile MachXO, our midrange Lattice ECP2, Lattice ECP2M and Lattice ECP3 family. The revenue mix of new, mainstream and mature was 46%, 32%, and 22% of revenue, respectively in Q3. This compares to new at 41%, mainstream at 35% and mature at 24% in Q2 of this year. Revenue from FPGA products represented 32% of total revenue in Q3, flat when comparing on a dollar basis to Q2 but up over 60% on a dollar basis year on year. PLD products represented 68% of total revenue in Q3, also flat when comparing Q2 on a dollar basis but up over 50% year on year. On a geographic basis revenue from Asia, including Japan, was up 2%; an increase to 69% of total revenue compared to last quarter’s 68%. Revenue from North America fell 2% quarter on quarter and was flat at 14% of revenue. Europe fell 4% quarter on quarter and dropped from 18% to 17% of revenue. On an end market basis communications was 50% of revenue in Q3 compared to 49% in Q2. Sales to Asian telecom gear makers increased, offsetting declines in shipments to non-Asian manufacturers around the world. Computing fell 10% quarter on quarter with gains in servers offset by declines at several storage companies. Industrial and other came in at 26% of revenue in Q3 compared to 25% in Q2. There was a mix shift in this category with declining mature product revenue offset by an increase in applications that use our new products. Consumer declined from 11% in Q2 to 10% of revenue in Q3. And finally before turning the call over to Michael, I wanted to also note a very important announcement we recently made. Lattice announced that Darin Billerbeck will join Lattice as President and CEO on November 8th. Darin has 30 years of experience from some of the semiconductor industries’ largest companies, Intel and AMD, and most recently as CEO of ZiLOG. Darin’s strong R and D experience will enable him to further optimize the execution of our strategic road map and continue to maximize the return for our stakeholders. I know I join all Lattice employees in welcoming Darin to the company and I personally look forward to working with him as I resume my responsibility as General Manager of Low Density and Mixed Signal Solutions. I will now turn the call over to Michael for a more detailed financial review. Michael–
Michael Potter: Thank you, Chris. As noted earlier, revenue for Q3 was $77.1 million flat with the prior quarter and up 57% from the year ago period. Growth margin for Q3 was 59.1% compared to 61.2% in the prior quarter. This was in line with our guidance but at the low end; reflecting the impact of lower sequential sales in our mature product category. Although the decline in mature product revenue was offset by an increase in new product revenue, newer products tend to have lower gross margins than our mature products. Total operating expenses for Q3 came in at $30.7 million compared to $31.4 million in Q2. We expect to see an increase to $34 million in Q4. The majority of the expected increase is related to new product launch expenses and associated mass costs. Q3 net income was $15.4 million or $0.13 per share as compared to $16.7 million or $0.14 per share in Q2 and compared to a net loss of $4.1 million or $0.04 per share in the year ago period. All four share amounts are on a fully diluted basis. At the current share price we expect diluted share count to be approximately $120 million to $121 million shares. Moving on, our balance sheet was further strengthened in the quarter. We generated an additional $15.4 million of cash from operations. Ending the quarter with a cash, cash equivalent and short term marketable securities balance of $229.1 million and we continue to have no debt. Not included in the liquidity discussion I just went through, is the remaining balance of our auction rate securities with a fair value of $9.7 million. For the third quarter in a row, we actually experience a gain on redemptions. However, due to the illiquid market for these types of investments, auction rate securities continue to be classified as long-term marketable securities. Accounts receivable at October 2 were $49.2 million compared to $47.3 million at the end of last quarter. And day sales outstanding were 57 days compared to 55 days last quarter and 52 days in Q3 2009. As noted on prior calls, although our actual collection times have not maturely changed, the DSL metric has been and will continue to be impacted by our transition to higher sell through transactions which cause higher growth billings. Inventory at October 2, 2010 was $31.7 million, up from $26.8 million last quarter and up from $27.1 million in the year ago period. Months of inventory now stands at three months compared to 2.7 months at the end of Q2 2010 and 3.6 months in Q3 2009. Our inventory increased sequentially in Q3 of 2010 mainly due to wafer deliveries of new products. Specifically our Lattice ECP3 to address near term customer demand. We spent approximately $3.8 million on capital expenditures during Q3, up from $2.8 million in Q2 with the quarterly depreciation and amortization expense at $3.7 million compared to $3.5 million in Q2. Finally the strength of our balance sheet has allowed us today to announce a twenty million dollar stock buyback. The purpose of the buyback is to manage the dilution and to build shareholder value. The program itself reflects our boards’ and managements’ confidence in Lattice’s prospects combined with our solid financial position. This concludes the financial review portion of the call. I will now turn things back over to Chris for the fourth quarter business outlook. Please go ahead Chris.
Christopher Fanning: Thanks, Michael. In summary we continue to believe we have a strong portfolio of solutions that meet our customers’ needs and that our competitive position will be furthered strengthened as we execute on our product road map. Let me now turn to our Q4 expectations. We expect revenues to be down 2% to 7% compared to Q3. Q4 gross margins are expected to be in the range of 58% to 60%. Total operating expenses are expected to be approximately $34 million dollars. Now the majority of the increase is related to new product launch expenses and associated mass costs. As noted in our earnings release, we expect continued profitability in Q4. This concludes our prepared remarks. Operator we will now be happy to take any questions.
Operator: (Operator Instructions) And your first question is from the line of Richard Shannon with Northland Capital.
Richard Shannon – Northland Capital: 
Gentlemen, how are you doing?:
Michael Potter: 
Doing good.:
Christopher Fanning: 
Good Richard, how are you doing?:
Richard Shannon – Northland Capital: 
Just fine, thanks. I guess my first question is regarding the commentary made in the (distortion) regarding some of the customers managing inventory and its impact on the Q4 guidance. I’I kind of curious to the extent of which you see that inventory management impacting that verses any sorts of near term demand issues and if you can comment specifically in any end markets where you’ve seen some of those, that would be great to know as well.:
Michael Potter: Sure, so I think specifically that’s probably a bit more focused on our mature product area. I mean we saw mature products decline 11% sequentially as we’ve indicated. And what we’re seeing is we’re seeing customers basically with the mature products having grown 41% in the first half of this year versus the first half of 2009, which is pretty substantial growth for products that are 10 years and in some cases 20 years old. We saw them decline 11% and I would more typically expect mature products to grow or decline 5% in any quarter during more normal conditions. So I think what we’re seeing is we’re seeing customers managing their own end product inventory. It’s across the board in all end markets; we’re just seeing it happen a lot more in Q3 and we can see that in the backlog entering into Q4.
Richard Shannon – Northland Capital: 
Okay, so the inventory management is almost exclusively focused on mature products then? Is that–:
Michael Potter: It’s focused, I wouldn’t say exclusively, but we’re definitely seeing it there more so than other places.
Richard Shannon – Northland Capital: 
Okay, so you don’t see any sorts of material changes in demand in any particular area that’s baked into this guidance summary then?:
Michael Potter: No, nothing really- there’s no one category Richard that we see a large drop in demand and we actually don’t see a very large drop in demand. And we do have backlog being booked even into Q1 by some customers. So we feel that people have been able to get good service from us over the last year. Other people’s lead times kind of extended during that time period and ours remained consistent. So it’s a little bit easier for them to know we can supply them and I think they were looking at where they are, the uncertainty that is in the marketplace and people waiting for what’s going to happen the end of this year and the beginning of next year. And they’re just tweaking their inventory.
Richard Shannon – Northland Capital: Okay, fair enough. And a question on operating expenses. Without the mask costs and the product launch costs I think you had referenced, would the OpEx been expected to be relatively flat in the Q3? And I guess the corollary there is how do we think about OpEx beyond the Q4?
Michael Potter: Yeah, it would have been a few million dollars lower than the guidance we gave. There’s a few other activities we’re doing at the end of the year so it’d be approximately $2 million related to the mask and launch expenses, and the rest is some miscellaneous other items.
Richard Shannon – Northland Capital: Okay, fair enough, and then just one last quick question for me. I know you delineate some revenues from two large telecomm OEMs in your filings every year. Can you tell us what that number is for the Q3?
Michael Potter: It went up in Q3 and I think it’s about 13% of our revenue in Q3. Richard Shannon – Northland Capital – Okay, great. I will jump out of line. Thanks, guys.
Christopher Fanning: Thanks, Richard.
Operator: Your next question is from the line of Nick Claire with Robert Baird.
Nick Claire – Robert Baird: Hey guys, I’m calling for Tristan Gerra.
Christopher Fanning: Okay, what can we do for you?
Nick Claire – Robert Baird: So could you guys touch on what percentage of your revenues this quarter were coming from the 65 nanometer node?
Christopher Fanning: So the product we have at 65 nanometers today is our ECP3, so that’s the one product that we have out at that node.
Nick Claire – Robert Baird: Okay.
Christopher Fanning: So it’s a small percentage but as we indicated earlier it grew 50% quarter on quarter, and that’s the one family that we have at that node today.
Nick Claire – Robert Baird: Okay. And what could you say of your 90 nanometer revenues? Are they still growing or have they reached a peak? And if they are, when would you anticipate the peak to come?
Christopher Fanning: So we don’t really divide our product categories up by node; we divide it by new, mainstream and mature. So our largest product family which is our MachXO, is at 130. So and that’s continued to grow and do quite well for us. We do have some products at 90 nanometers, our XP2 family for example, and our ECP2M as well. And those continue to do well for us. So I don’t think we’ve seen a peak at even 130, so I don’t think I’ll be talking about a peak at 90. It’s just not, it’s not as relevant to us in the markets we compete in and in our lower power and the CPLD market – we don’t really focus so much on node.
Nick Claire – Robert Baird: Okay. And then I guess could you talk about the range your lead times are during the quarter? And if they’re still above normal levels, what would you be looking at timeframe wise for them to normalize?
Christopher Fanning: Yeah, actually we’re in general, Nick, our lead times have actually remained pretty consistent for the entire 2010 time period with very few exceptions. So I think our operations staff has actually executed very well this year with our foundry partners and our assembly and test partners. Our lead times tend to be anywhere from four to eight weeks depending on the product; it’s something that we manage pretty proactively. And we have not I think experienced the similar lead time challenges that some of the other folks in the industry have had earlier this year.
Nick Claire – Robert Baird: Okay. And then I guess one more for me here. So assuming that China’s flat next year, do you think that you can grow the China business because of market share gains? Or I guess how can we look at quantifying that?
Christopher Fanning: So I think, I’I not sure if I would agree with your assumption but let’s just take that hypothetically. We obviously have business with two major communication accounts in China – I think we all know that. But we actually do a fair bit of business with many other customers within the China market. We’ve got a very strong sales team there, distribution network there. It’s clearly a focus for us to grow our business in China overall, and given our design momentum and customer adoption rates with both ECP3, with the MachXO, with our Power Management products, I’I pretty confident that we’ll see continued success in China.
Michael Potter: And I’d also caution you to remember that we report our revenue by a ship to address, so even if it’s a Western company, if the ship to address is in China we list that as China revenue. And also as we’ve talked about in the past, many of our Chinese customers – so Chinese companies that we ship to into China – export a lot of the products they assemble in China. So the end market is not necessarily in China.
Nick Claire – Robert Baird: Okay. Alright, great. Well, thanks a lot guys. 
Operator: (Operator Instructions) And your next question is from the line of Sundeep Bajikar with Morgan Stanley.
Sundeep Bajikar – Morgan Stanley: Thank you for taking my question. Just following up on the commentary about customers managing inventories in September, could you tell us which end markets you saw this in, and was it weighted towards communications or industrials or any other segments?
Christopher Fanning: Sundeep, what I think I said earlier in a similar question is that we’re seeing that across the board. I mean it really comes down to many end markets. It’s not comm.-centric, it’s not computing-centric; it’s really spread across the end markets and geographies. Some customers did it much more than others, it really comes down to an account by account basis. But we don’t see any secular trend in one end market versus another.
Michael Potter: We also didn’t see any large cancellations or significant push outs. There’s always some push outs and pull I that happen during a quarter, but this wasn’t a quarter where you started seeing cancellations all over the place. It was just a quarter where there wasn’t as much strength towards the end of the quarter as normally expected, and when you inquire into our distribution channel, they’ll tell you and you can see from our results every week people are taking inventory but they’re just being cautious. And they’re confident they can get supply from us so they’re not stocking in their own factories and warehouses right now.
Sundeep Bajikar – Morgan Stanley: I-hmm. That’s very helpful. Just to follow up, I guess, your commentary about the ECP3 demand and the inventory buildup on your books because of that. Is it clear to assume that those orders are still on your books and you expect to ship them going forward?
Christopher Fanning: That’s a good assumption. Again, remember this product came out a year and a half ago, and as you know in this industry it takes a while for a product to be designed in and then to generate meaningful revenues. So we’re winning designs, we’re seeing good customer adoption; we’re anticipating when those won designs are going to go into production, and we’re obviously gearing up inventory as a result.
Michael Potter: It started a little bit last quarter but the other thing to know is there’s been some different densities released over the past year or so, and as each one gets introduced into the marketplace we need the initial stocking inventory. Timing wise, most of us is on our books now versus being deployed out into our customers at the end of Q3.
Sundeep Bajikar – Morgan Stanley: Right, and one last one from me if I can. Your industrial segment had been growing at a pretty nice double digit clip for a few quarters. That seems to have slowed down, which is consistent with what we’re seeing in the industry. How should we think about this business going forward I guess in Q4 and also beyond?
Christopher Fanning: Well, I think again in industrial, the decline in the industrial market came predominantly from some of our mature products, and so I think that again is industrial customers managing their end inventories. That said, we’re seeing good growth from our newer products in the industrial end market, just the net-net wasn’t what we had hoped.
Michael Potter: And it was kind of a curious quarter in terms of our industrial numbers stayed relatively flat, but the mix certainly changed. And if you look at it, we sold a lot of our mature products more into the US and Europe which is affected by summer holidays, particularly Europe; whereas in Asia a lot of our newer designs are manufactured and they use our newer parts, and that revenue even in the industrial segment was pretty good for the Q3.
Sundeep Bajikar – Morgan Stanley: Thanks very much.
Operator: Your next question is from the line of Apurva Patel with Ticonderoga Securities.
Apurva Patel – Ticonderoga Securities: Hi guys, thanks. First question on Q3 ’10, on your press release you highlighted that there was a weakness that amassed especially in September. If that weakness was not there, especially I guess in reference to your customers, would you have expected your revenues to be higher? And if so how much? Can you quantify it?
Michael Potter: Well, that’s kind of a difficult question because we had forecasted a range. So we came in at the lower end of the range. I would expect that we would have been somewhat higher in the range if things had been a little bit more robust than they ended up being. But they came in as they did so we had the number we had. That’s one of the reasons why we used the range, and in particular our forecasting has become a little bit more difficult as we have transitioned from sell in to sell through over the last year. And we made another distributor transition during this year, so it’s a little bit more difficult to forecast. Normally at the end of a quarter, at the end of Q3 if I look back at the historical numbers we have a little bit more strength than we had this time. When we inquired from our direct customers and our distributors, they all basically gave us the comments that we reflected. And we saw some customers were managing their inventories at quarter end.
Apurva Patel – Ticonderoga Securities: Understood. A second question on inventory… Thanks for the color on your increasing inventory, going from mature to new products. But when do you expect that inventory on your own balance sheet to come down? Or when do you expect your customers adopt more of the new products increasingly faster as your mature or mainstream products should taper down?
Michael Potter: Right now our forecast for Q4 for inventory, which we don’t really go into detail normally, is to be relatively flat. And we don’t really talk about future; we don’t talk about past Q4. I do know that this is all new product that’s in new designs, the inventory build, so it’s something that we suspect to move out into the channel and turn into revenue in relatively short order.
Apurva Patel – Ticonderoga Securities: Thanks, Michael. Michael, another question. What were the turns in the Q3 ‘10 and what was the book to bill in terms of, in total would be great and what do you expect that for Q4 ‘10?
Michael Potter: Yeah, we don’t really view our book to bill ratio as being particularly relevant. It’s very distorted by distributors placing orders at full distribution price and then selling at the end customer price. So I would say that our turns were relatively low compared to historical averages in Q2, which is what we expected. Turns were slower near the end of the quarter, sorry in Q3. In Q2 actually they were lower too, but in Q3 they remained lower. We expect turns not to be very high in Q4 as well. Traditionally we’ve run as much as 50% plus of our business has been turns and it’s been in the mid 20’s to the low 30’s for the past few quarters.
Apurva Patel – Ticonderoga Securities: Great. Two more questions from me. What do you expect in terms of your end market in color and directionally in terms of full year ‘10? Do you still expect strength to come from the communications and industrial and computing to be mixed and consumer to be down?
Christopher Fanning: Yeah, I mean as far as end markets go, I mean so communications grew in the Q3. We still are winning business in the communications sector. We’re obviously pretty focused on wireless with some business in the wire line segment. We see the ECP3 and the XO continuing to be adopted by customers there. As I had mentioned earlier computing, although it had declined for the quarter we actually did well in the server segment within computing; just the decline was driven more by storage customers, etc. I think we’ve already covered the industrial end market, and as far as consumer goes, you know, we continue to be focused on opening up opportunities in the consumer market. We are with our Mach4000-ZE product, which is a very low power CPLD product, we’re continuing to kind of engage and win new business. That’s been a fairly recent event in the last 12 months or so and we’re starting to kind of build up a portfolio of customers in that end market. And I also think what you’ll see from us later on this quarter is some product announcements that will open up even more opportunity there for us as well.
Apurva Patel – Ticonderoga Securities: Thank you. One last question. (audio distortion) Do you think that that consumption is still within China or would that consumption also be consumed in especially India?
Michael Potter: Could you repeat that question again? You were breaking up.
Apurva Patel – Ticonderoga Securities: Sure. In the communications business you added two large customers, but being that they are two large customers are the consumptions being locally in China or is that also being consumed in India, or stating to be consumed in India?
Michael Potter: Sure. So one, we have many communications customers, more than just two of them in China. And then as far as those particular accounts go I think it’s pretty well known that 70% plus of their revenue is sold outside of China. So we’re seeing revenue being driven within China business and certainly outside of China.
Apurva Patel – Ticonderoga Securities: Great, that’s all for me. Thank you.
Michael Potter: Great.
Operator: And your next question is from Bill Dezellem with Titan Capital Management.
Bill Dezellem – Titan Capital Management: Thank you. We had a couple of questions. First of all, would you please compare and contrast your overall market conditions by the three geographies – Asia, Europe, and North America? And if you would, exclude the impact of the mature products/new products. Really what I’m trying to focus on is more how you’re viewing the overall conditions as opposed to the impacts from your specific products.
Christopher Fanning: Well, again so I guess a differentiating comment, as Michael as already mentioned we report our revenue from where we realize the revenue in terms of geography. I think folks know that a lot of the business that’s designed in North America and in the European market will oftentimes be manufactured by companies in Asia. And so our business is reported out based on where we sell product to, but clearly the design activity is a bit higher in Europe and in the Americas as might be represented by those numbers. If you look at the geographies, I mean frankly we still see some pretty strong design activity within the Americas market and the European market. We have very good sales engagement in both of those territories, we have a good distribution network. We’re out engaging people in a host of new designs – all end markets. We’re seeing companies really I guess progressing at a very strong rate of design, and we’re winning we think more than our fair share of design wins. In the Asian market, not only do we see – this would include Japan. I mean we see a lot of activity in the Asian market, not just in building product but there’s a lot of indigenous design, and I think the rate of indigenous design is increasing in the Asian market from where it was say five years ago. So we still see a lot of design activity, there’s still lots of opportunity out there. And we continue to engage customers at an accelerating rate.
Bill Dezellem – Titan Capital Management: Okay. My next question is relative to new product introductions coming in the next quarter or two, would you please, broadly speaking, discuss the functionality that you are trying to bring to the market and how that functionality compares to what you currently are or are not offering the marketplace?
Christopher Fanning: Sure. I think without getting into specific details cause I’d prefer to have the product announcements happen when they happen, but I think what you’ll see at a very high level is you’ll see some continuing themes of our current strategy. In the FPGA arena with our midrange FPGAs, I mean we’re very focused on very low power, low cost solutions, and we’re focused in on specific markets. And I think you’ll continue to see that trend as we move forward. In the low density business with our Mach4000 and our MachXO business, what you would see is us continuing to gain share in those markets and perhaps develop more PLD TAM, more users, bring more users into the PLD market. And we can do that by offering low cost design platforms that do much higher integration than what’s offered in the marketplace today; and then some other features that you might be able to offer that would allow you to address some applications that programmable logic can’t address today. In the mixed signal arena, I think with the power management products that we offer today, I mean the clear value proposition is that we help customers reduce their costs, we provide them a more reliable technical solution; and through programmability we allow people to troubleshoot their board and/or take risks out of their designs in the fact that they don’t have to redesign a board. They can rather fix a problem using the programmable logic that we’ve embedded in our mixed signal solution. Those are kind of the tenets of our product strategy if you will. I think what you’ll see over the next quarter or two is you’ll see new products that build on those basic tenets of the strategy and perhaps take some new twists that will open up some more market opportunity for us.
Bill Dezellem – Titan Capital Management: And just a follow-up on that and then I’ll get off here. Have your important customers already seen the beta version of these products, and if so how long have they had an opportunity to be thinking about how these products could fit into their design strategy going forward?
Christopher Fanning: Yeah, what we’ve done with these products is a fairly traditional approach, which is you engage customers early, you engage them on a number of fronts – when you’re doing your market research and coming up with the specification for the product. And then as you’re beginning to think about rolling out the product in a public fashion you engage some particularly high value customers early. We’ve certainly done that. The feedback has been very appealing to us, well-received, and I think these customers have a very good idea of what the product capabilities are. They’re enthusiastic about the products. And personally, I can’t wait until we publicly announce them so we can get into all the good details with folks like yourself.
Bill Dezellem – Titan Capital Management: Thank you.
Operator: (Operator Instructions) Your next question is from the line of David Duley with Steelhead.
David Duley – Steelhead Securities: Thanks for taking my question. You made some comments about mature products earlier in your comments, and I was wondering if those comments also apply to the mainstream products. I believe they also declined sequentially, and maybe if you could just give us a little color on what declined in the mainstream area.
Michael Potter: Sure, David. Good of you to call. So yeah, the mainstream did decline – you’re right. It declined at a lower rate than the mature did. Without getting into all the product detail, I think mainstream products tend to be out there, there’s no hard rule but five to ten years of product introduction. What we’ve seen is we saw more of a decline in the products that have been out in the marketplace a bit longer at the later end of that range. And so that kind of makes intuitive sense when you compare and contrast that to the mature segment.
David Duley – Steelhead Securities: Okay. And when I look at the results of some of the large competitors in your space, you’ll notice, it seems like their Asian revenue grew a little faster and their communication revenue grew a little faster. Do you attribute that to a best guess that they have more landline exposure than you do, or maybe some color on what’s going on in landline and wireless throughout Asia would be helpful.
Christopher Fanning: Yeah, I think it is seldom one specific reason why. So I think one is we’re more exposed on the wireless than on the wire line, and I think those competitors had just disclosed earlier this week that they had seen some wire line growth as well as the wireless growth. You know, they’re selling products at the, they’re selling products that were designed in two and a half to three years ago, at a time when the midrange solutions that we offer today were not available. So they’re clearly going to be experiencing a little bit more dollar per content for some of those designs than we will enjoy today, but as I mentioned earlier we’re winning our fair share, if not more than our fair share, of designs today. And so that certainly bodes well for the longer term.
David Duley – Steelhead Securities: Would you think that your content in the wireless space and/or the wire line space would continue to grow with your new products?
Christopher Fanning: That’s certainly our expectation. As we continue to wind designs with the ECP3, we’re winning sockets that we previously were not able to compete for. So we’re seeing that product do well. The customer interest is very high given again, I think we have a low power leadership position. We have a very good overall solution holistically with not just the silicone but with our software IP portfolio, and we’ve been very focused on this for the last two years. And I think we’re certainly seeing the payoff within Lattice and we’re obviously seeing the EPC3 grow – it’s our best ramping product ever – and we would certainly expect that to continue.
Operator: And your next question is from Richard Shannon with Northland Capital.
Richard Shannon – Northland Capital: Hi, guys. Just a couple quick follows. I guess first on New Horizons, obviously after their announcement, being acquired by Aero, I wanted to get your latest feedback on what the impact of that acquisition will be, whether you expect to have good exposure from the FAEs at New Horizons and also what you’re seeing in the six months since you’ve engaged them outside of Asia.
Christopher Fanning: Sure. So I actually think the impact of the acquisition will have a neutral to positive impact at Lattice. It kind of depends on how Aero determines it will integrate the acquisition, and of course they’re not expected to close on that acquisition until later this quarter. Now first, because remember Aero and Lattice actually had a strong longstanding partnership before we made the move to Newhoe (ph), and at that time when we made the move we explained that the move was more instigated by the focus and resources that Newhoe was going to be able to provide us on a worldwide basis; and that we simply did not want to add a third major distributor. So we parted ways at that time with Aero. I believe that if the Newhoe resources, which are very good technically and have very good experience selling TLD’s are largely tamed, then this would be a very positive outcome for Lattice. And additionally, if Aero maintains Newhoe as a separate selling entity in any of the three major geographies, then I would view this too as a positive outcome for Lattice given the continued focus that our line would see with that organizational structure. So I think those are the two most important variables in the mix. We won’t know for certain until Aero makes their intentions public once they close the business, which of course they have to wait until they do that. But I think that if they do a good job retaining the resources and if they decide to maintain a separate selling entity I think that would be very positive for Lattice, given that Aero would then of course bring the scale and the size that they have in the distribution arena.
Richard Shannon – Northland Capital: Okay great, Chris. I appreciate that feedback on that. My next question is in your wireless business. Obviously there are some very nice design wins with a couple of large OEMs out in Asia. I know you’ve talked about having design wins with eight of the top ten wireless OEMs out there. I’m kind of curious when we see the impact of broadening that design base, both by OEMs and also by geographies.
Christopher Fanning: Well again, we’re pretty focused on that wireless area, and those ten major wireless providers certainly offer a very significant total available market. So I think if we continue to focus there we will do very well with ECP3 as we see our customer adoption there continue to grow. We’re obviously considering going a bit more broadly with all of our solutions as we continue to develop our distribution channel, we continue to work well as evidenced with our MachXO growing. I think there’s some definite sales opportunities for us to leverage the LatticeECP3 into other markets and other OEMs. And we’re certainly mindful of that and we’re looking at how to go about doing that successfully in 2011.
Richard Shannon – Northland Capital: Okay, great, and then just a last quick question. I think you mentioned that ECP3 grew over 50% sequentially. I think if I remember the comment from last quarter, does that mean the revenues from that product is over $3 million now?
Michael Potter: That’s about the right neighborhood.
Richard Shannon – Northland Capital: Okay, perfect. Thanks a lot, guys.
Operator: And your next question is from Apurva Patel with Ticonderoga Securities.
Apurva Patel – Ticonderoga Securities: Hi, guys. Just wanted to follow up regarding your stock repurchase program. Do you expect it to be active this quarter, for full Q4 ‘10 and then into the next couple quarters? How should we think about that?
Michael Potter: We expect it to be active this quarter, and it’s a 12 month program for $20 million.
Apurva Patel – Ticonderoga Securities: Great, that’s all I have. Thank you.
Operator: And that was our final question. Mr. Pasquale, do you have any closing remarks?
David Pasquale: Yeah, I just wanted to thank everyone again for attending the call. A reminder to everyone to expect some very interesting product announcements that are coming out later in this quarter. And Michael and I will be available after the call to anyone wanting to get any additional questions answered. So thanks again, everyone.
Operator: And thank you. This does conclude today’s conference call. You may now disconnect.